Operator: Good day and welcome to the Iteris Fiscal First Quarter 2022 Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Todd Kehrli, MKR Group. Please go ahead, sir.
Todd Kehrli: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Iteris' financial results for its 2022 fiscal first quarter ended June 30, 2021. Joining us today are Iteris', President and CEO, Mr. Joe Bergera; and the company's CFO, Mr. Doug Groves. Following the remarks we'll open the call for questions from the company's covering sell-side analysts. Although, we invited investors to submit questions to the company in advance of the call for instructions in our press release dated July 22, 2021 we did not receive any written investor questions. Before we continue, we'd like to remind all participants that during the course of this call we may make forward-looking statements regarding future events, or the future performance of the Company, which statements are based on current information are subject to change and are not guarantees of future performance. Iteris is not undertaking an obligation to provide updates to these forward-looking statements in the future. Actual results may differ substantially from what is discussed today and no one should assume that at a later date the company's comments from today will still be valid. Iteris refers you to the documents that the company files from time to time with the SEC, specifically the company's most recent forms 10-K, 10-Q and 8-K, which contain and identify important risk factors that could cause actual results to differ materially from those that are contained in any of the forward-looking statements. As always, you'll find a webcast replay of today's call in the Investor Relations section of the company's website at www.iteris.com. With that said, I'd now like to turn the call over to Iteris', President and CEO, Mr. Joe Bergera. Joe? 
Joe Bergera: Great. Thank you, Todd, and good afternoon to everyone. I appreciate all of you joining us today. Before we begin our regular earnings commentary, I want to remind everyone that on March 8, 2021 the Board announced that Iteris initiated a comprehensive review of strategic alternatives. We believe that would disadvantage our shareholders to impose an artificial deadline on this review. And at this time, the review is still ongoing. While there are no material updates to share right now, I know that everyone is eager to understand the status. So I'll provide some color on the state of play. Our Board has been highly engaged with the company's external financial, legal, and other strategic advisers to identify and assess a range of alternatives to enhance Iteris' value and market position. All of us have founded very interesting and constructive to conduct an independent assessment of our competitive environment, core competencies, marketplace dynamics, technology trends and relevant public and private market valuations. This work has reinforced our view that we participate in a large and dynamic market and Iteris is in a unique position to capitalize on opportunities ahead. We'll have more to say as we conclude the review and hope to be able to update you with our progress in the near future. In the meantime, we don't have anything to say beyond what we included in our prepared remarks. So we'd appreciate everyone keeping today's questions focused on our operational and financial performance. On a separate note, I want to remind everyone of two events that will impact the presentation of our results. First, we completed the sale of our Agriculture and Weather Analytics segment to DTN LLC on May 5, 2020. As such, we're reporting the results of that segment as discontinued operations for all periods presented in today's earnings announcement, and I'll be discussing only our continuing operations for the remainder of this call. Second on April 1, 2021, we reorganized Iteris to accelerate the development of our platform-enabled ecosystem, which we branded the Iteris ClearMobility platform. Our new organization includes three product delivery teams, applications and cloud solutions advanced sensor technologies and mobility consulting solutions, all of which are supported by a new Chief Technology Officer and shared service teams responsible for sales, marketing and support activities. We believe these organization changes will create various development efficiencies, increase our recurring revenue contribution, and accelerate the execution of our platform-enabled business strategy. Due to this new structure, we'll be reporting our results as a single reporting segment which reflects that we've organized all of our product delivery activities around a single unified platform. With that background, let's discuss the results for the prior – for the period ending June 30, 2021. So first of all, Iteris had a solid start to fiscal year 2022. The company reported record total revenue of $34.1 million in the first quarter of our new fiscal year, representing a 22% year-over-year increase. About $8.2 million or 24% of our total revenue was recorded as annual recurring revenue. In the first quarter, we also secured total net bookings of $36 million. That's a record bookings result for the company. About $10.1 million or 28% of our total net bookings will be recorded in the future as annual recurring revenue. Due to our record net bookings, we ended the June 30, period with record total ending backlog of $79.9 million, which is an 18% increase year-over-year. The company's record total revenue, record net bookings, and record ending backlog results reflect solid performance across virtually all product and service lines of business. In interest of time, I'll take only a few minutes to provide some color on those products and service lines of business, with particularly notable commercial or operational performance in the period, after which Doug will discuss our financial results in more detail. So let's review our product lines of business, first. Our product revenue is composed of two components. One is products we develop and market. In other words, those products for which we operate as the original equipment manufacturer; and two, third-party products that we distribute, deploy and we often integrate with our own products. Our fiscal 2022 first quarter product revenue was $18 million versus $14.4 million in the same prior year period, representing a 25% year-over-year increase. The sales of Iteris products, represented about $16.2 million or 90% of total product revenue. And the sales of third-party products represented about $1.8 million or the balance of our fiscal 2022 first quarter product revenue. For the period, we experienced exceptionally strong product sales in our Central and Eastern regions. And we put a lot of effort over the last several quarters into enhancing our position in both these regions, where we've been historically under-penetrated relative to other regions in which we operate across North America. Therefore, we're particularly pleased with our first quarter product sales result. The strong first quarter product sales performance in our opinion was due to two factors: one, excellent sales execution, which we'd expect to continue to drive market share gains for the balance of fiscal 2022; and two, to continuous innovation across our product portfolio that enables us to continue to set the product performance standards for the industry. In the first quarter we continued to extend our product performance lead. Some of the notable first quarter product innovations include: first, we validated and began deploying hundreds of our new Spectra CV or Spectra-connected vehicle devices that enable infrastructure-to-vehicle or I2V connectivity via both DSRC and cellular communications across regions of California and Florida. This is an extremely important milestone because it establishes Iteris as a highly credible participant in this new highly dynamic I2V communications product category and also enables us to capture and ingest valuable proprietary connected vehicle data in our ClearMobility Cloud. Second, we began pilots of various connected vehicle applications that leverage both our new Spectra CV devices and ClearMobility Cloud to address a number of critical safety use cases. Third, we completed the official launch of our next-generation radar-based detection product which is branded as VantageRadius +. Among other new innovations VantageRadius + offers 4D high-definition forward fire radar up to 600 feet and further reinforces that Iteris is the new performance standard bearer in radar, as well as video detection a mark which we have – we created and have led for over a decade. Fourth, we began to deploy VantageRadius in the highway market, which provides Iteris with exposure to a sizable new product category. Additionally, this positions us to capture and publish highly granular proprietary highway traffic flow data to ClearMobility Cloud for further monetization. Now let's discuss our service lines of business. We recognized two forms of service revenue. First, project-based revenue, that is associated with our consulting activities; and second annual recurring revenue from our software as a service solutions and from our managed services activities. Our fiscal 2022 first quarter services revenue was $16.1 million versus $13.6 million in the same prior year period, representing an 18% year-over-year increase. About $7.8 million or 49% of our services revenue was project-based, whereas about $8.2 million or 51% of our services revenue was annual recurring revenue. We continue to work very deliberately to increase the contribution of annual recurring revenue. There are a number of tactics that we're deploying. First, we're focused on increasing the adoption rate of our family of SaaS solutions; second, bundling our SaaS solutions into our multi-year consulting projects; third, developing and commercializing a portfolio of cloud-enabled managed services that leverage our SaaS solutions; and fourth, evolving our ClearMobility platform to support new innovative platform as a service and data platform as a service offers that address emerging needs of both public agencies and commercial entities, whose business models depend on mobility infrastructure. Given our strategic focus on annual recurring revenue, we're delighted to have achieved a key inflection point in the first quarter with our annual recurring revenue exceeding project-based revenue for the first time. As mentioned earlier, ARR now represents 24% of our total enterprise revenue. In the fiscal 2022 first quarter, we saw an increase in both the size and velocity of our sales pipeline for new services. We also seem to experience a modest reduction in the length of time between contract award and contract execution. And this is a really important metric for Iteris because we're required to have a fully executed contract or task order in hand to record a service award as a booking. In the first quarter, we recorded $16.2 million in net services bookings, of which 60% will be recognized as annual recurring revenue in future periods. Some of the notable first services – I'm sorry, some of the notable first quarter services bookings include a seven-figure data platform as a service contract extension to provide traffic flow and incident data to a North American media company, a $2.4 million extension for a managed services contract with the San Francisco Bay Area Metropolitan Transportation Commission. Approximately $1.9 million in total task orders for our SaaS-based mobility intelligence application ClearGuide, over $1 million in total task orders for advanced traveler information systems that we brand as ClearRoute. About $900,000 task orders for our SaaS-based commercial vehicle operations software and approximately $600,000 in total task orders related to connected and automated vehicle planning and standards development. So overall, we had a great start to our fiscal year 2022, as demonstrated by strong sales execution and measurable progress against our platform-based business strategy. And with that I'll turn the call over to Doug. 
Doug Groves: Thank you, Joe. Good afternoon, everyone. As a reminder, please see the company's 10-Q filing and press release, which are posted on our IR website for a further description of matters under discussion during the call today. As a further reminder and as Joe noted, we're now reporting our results in a single reporting segment. Consistent with the last several quarters' results, we've seen the performance of the business in the first quarter continue to improve, with favorable year-over-year trends in certain key metrics, including topline growth, improving operating income margins, improving EBITDA and increasing backlog. Now, I'll move on to the details of the first quarter results. Total revenue for the fiscal 2022 first quarter, increased 22% to $34.1 million compared to $28 million in the same quarter a year ago. Our gross margins in the first quarter improved 250 basis points to 41.3%, compared to 38.8% from the same quarter last year. Turning to our revenue mix. The product revenues grew 25% to $18 million, compared to $14.4 million in the same quarter last year. Product gross margins were 47% compared to 43.9% from the same quarter last year, driven by higher manufacturing volumes and improved product mix. We're seeing good market penetration with several of our new products and feature sets that were recently introduced, which is driving above-market growth rates. Our service gross revenues grew 18% to $16.1 million compared to $13.6 million in the prior year quarter. In our services line, we had 51% in annual recurring revenues compared to 40% in the same quarter last year. As a reminder, our annual recurring revenues are comprised of our software and managed services revenues. Service gross margins, improved 150 basis points to 35% compared to 33.5% from the same quarter last year. This was due to a higher percentage of annual recurring revenues versus project-related revenues. Operating expenses in the first quarter were $13.4 million, compared to $10.5 million in the same prior year quarter, as a result of the TrafficCast acquisition in the third quarter of fiscal year 2021. However, the current quarter was flat on a sequential basis with the fourth quarter of fiscal year 2021 and we continue to be focused on rigorous expense management to improve our operating margins. We reported GAAP operating income in the first quarter of $683,000, compared with GAAP operating income of $382,000 in the same quarter a year ago. This was a 47% improvement in the operating margin as a percentage of revenue on a year-over-year basis. The GAAP net income from continuing operations in the first quarter was $629,000 or $0.01 per diluted share, compared with $418,000 net income or $0.01 per diluted share last year. Adjusted EBITDA for the first quarter was $2.5 million or 7.4% of revenue, which compares to $2.3 million or 8.2% of revenue in the first quarter of last year. This was an 11% improvement in EBITDA year-over-year and we continue to expect EBITDA margins as a percentage of revenue to be in the 7% to 8% range this fiscal year. Turning to liquidity and capital resources, total cash and short-term investments were $31.1 million at the end of the first quarter. The $2.8 million increase year-over-year was a result of increasing profitability and a continued focus on working capital management. We spent $1.1 million in capital expenditures and capitalized software costs in the quarter, which was up $900,000 year-over-year. The increase in capitalized software is related to a large new SaaS project we won several quarters ago and that we expect to go into production in the second half of this year. As we continue to win new SaaS business, this will require investment to build new software solutions. So this amount will vary from quarter-to-quarter. However, we do expect for the full year that these investments will be about 1% of total revenue, reflecting our asset-light business model. So in summary, we're pleased to report another solid quarter of performance. We remain focused on growing the business and our annual recurring revenue, while vigorously managing our working capital and cost structure to improve margins, as we go forward. With first quarter record backlog of $79.9 million, this positions us well for the remainder of fiscal year 2022, which is why we raised the bottom end of our revenue guidance from $132 million to $134 million. With that, I'll turn the call back over to Joe. Joe?
Joe Bergera: Great. Thank you, Doug. The smart mobility infrastructure market is a dynamic sector, characterized by favorable secular trends, as well as emerging network effects from the introduction of new forms of mobility. Various external events are challenging once risk-averse and sometimes stodgy transportation agencies to re-imagine their internal business processes, inter-agency collaboration models and interactions with commercial entities, who are critically dependent on mobility infrastructure. All of this represents an enormous task and the collective action problem that can only be solved through a platform-enabled ecosystem. With the unique combination of core competencies and market access in what is a highly, highly fragmented industry, Iteris is in a particularly strong position with this platform-enabled ecosystem to capitalize on this significant market opportunity. Iteris' ClearMobility platform, which is the foundation of our platform-enabled business strategy, has already been adopted by a variety of public agencies and ecosystem partners are already integrating our platform into their solutions. And with the acquisition of TrafficCast, we've seen an increase in the number and variety of commercial entities, seeking to integrate with our platform. As we look ahead, we believe, Iteris will evolve into a critical mobility infrastructure digital platform that both benefit society and create significant long-term shareholder value. For the balance of FY 2022, we'll remain particularly focused on the following key initiatives. First, we'll drive the adoption of our next-generation radar detection system VantageRadius + and penetrate the adjacent highway market that both expands the TAM for our sensors and produces additional data sets for our ClearMobility platform. Second, we'll release our next-generation video detection system that will provide the industry's first 1080P high-definition video and integrated artificial intelligence algorithms for real-time, deep level object classification. This capability will further differentiate our product performance, contribute rich new data sets to our ClearMobility platform and enable various applications that will drive growth in our annual recurring revenue. Third, we'll continue to develop and commercialize our portfolio of cloud-enabled managed services through both planned enhancements and the introduction of new services. Our cloud-enabled managed services not only generate new annual recurring revenue but are extremely important because they have a secondary critical benefit of integrating agency systems and/or data sets into our ClearMobility ecosystem. Fourth, we'll introduce new connected vehicle solutions including new data platform as a service offers to both monetize our connected vehicle data and drive engagement with the ClearMobility platform. And fifth, we'll continue to develop our partner ecosystem and further monetize our existing partnerships through the release of new products with partners such as Continental and Cisco. Our overall sales pipeline is already at historic levels and the planned release of significant technology innovation should improve our competitive differentiation in existing markets as well as expand our total addressable market. Therefore as we begin the second quarter of fiscal 2022, we continue to anticipate solid full year bookings growth even though results may fluctuate in any given quarter, especially as we continue to pursue more multi-million dollar contracts. Based on our anticipated bookings growth and current record backlog, as Doug noted, we're raising the bottom end where we're raising the midpoint of our full year total year revenue guidance. The new range is $134 million to $142 million which would represent 15% at the low end and 21% at the high end of the range. At this time, we would expect supply chain constraints -- supply chain constraints rather than demand to be the primary limiting factor for our fiscal 2022 revenue attainment. In addition to solid total revenue growth for the full year, we also expect the contribution of annual recurring revenue to increase year-over-year and fall within a range of 24% to 26% of total revenue. As a reminder, our estimates of total revenue and annual recurring revenue mix do not include any potential upside from transformational initiatives which we are pursuing such as strategic partnerships and acquisitions because we're unable to predict the specific timing of these initiatives. We continue to anticipate improvements in our full year fiscal 2022 gross profit margin relative to the prior fiscal year due to the increase in our operating scale and the higher concentration of software as a service and sensor revenue as we saw in the first quarter. In turn, this should produce a significant year-over-year improvement in both net income and adjusted EBITDA for the full fiscal 2022 year. So, with that, we'd be delighted to respond to your questions and comments. Operator?
Operator: Thank you. [Operator Instructions] First question comes from Ryan Sigdahl from Craig-Hallum Capital Group.
Ryan Sigdahl: Good afternoon guys. Thanks for taking my questions.
Joe Bergera: Hi Ryan.
Ryan Sigdahl: If you could elaborate a little bit on -- Joe on the impact of COVID the reopening I know it had delayed some projects previously but what you're seeing currently and then as well as any indications on maybe what some of these agencies are thinking relative to the Delta variant?
Joe Bergera: Yes, it’s a great question. So, there are a couple of parts to that. In the prior few quarters when we've had these calls, we felt some uncertainty with respect to agency budgets. At this point, we -- our concerns are substantially less. There's obviously through the federal stimulus programs there's now a backstop and so at least at this point we don't have any significant concerns about funding levels. But there is a human aspect to our business as well. And there is some concern that with the Delta variant there could be further disruption to internal agency business processes because certain personnel that -- in a lot of these agencies still need to perform certain work on site. And in a lot of instances, they require wet signatures and things like that in order to push business forward. So, there could be some disruption still. We've actually tried to account for that in the guidance that we provided. And so assuming that things don't erode we're feeling fairly optimistic about the balance of our fiscal 2022. 
Ryan Sigdahl: Great. Then just moving over to VantageRadius plus, can you elaborate a little bit on the highway traffic monitoring the intersection sensors and SaaS offerings et cetera that you've had make sense, but just how that can translate into the adjacent highway traffic monitoring?
Joe Bergera: Yes sure. So, just as a reminder to everybody when we've talked in the past about the addressable market for our detection products, we've focused exclusively on the intersection detection market, our products have only been deployed at the intersection. And again we've got a very broad portfolio of products which include video detection, radar detection hybrid which is a combination of both video and radar and Bluetooth and Wi-Fi detection products. But again they've historically been deployed only at the intersection. With the enhancements we've been making to our intersection detection products we're now able to deploy them at other locations across the road infrastructure including across certain highway segments. There is a fairly sizable market the estimated addressable market for highway radar detection products is somewhere between probably $100 million and $200 million in the US alone. That's not a market that we've previously addressed in any way. And so we have recently entered that. We've now deployed our VantageRadius product in California and we're pursuing similar deployments across the country. To be clear, the use of this form of radar detection is not for enforcement purposes. It's to help agencies understand the volume of traffic and the speed of traffic movement from one segment to another, an area that's a particular concern are on-ramp and off-ramps. While there's probe data, which we use ourselves, which can provide high-level visibility to basic traffic movement and speed across larger segments. Agencies are not able to get the level of fidelity that they need from the probe data. And so they've historically relied on these radar detection sensors to augment the insights they're able to collect from the probe data, which provides more aggregated visibility of traffic movement. Does that answer your question, Ryan?
Ryan Sigdahl: Yeah. Absolutely. I'll hop back in the queue. Good luck guys.
Joe Bergera: Thank you.
Doug Groves: Thanks.
Operator: [Operator Instructions] Our next question comes from Mike Latimore with Northland Capital.
Unidentified Analyst: Hi. This is Aditya on behalf of Mike Latimore. Could you tell me how much did TrafficCast contribute to the revenue in 1Q?
Joe Bergera: The TrafficCast contribution to revenue in the first quarter was about $3.5 million.
Unidentified Analyst: $3.5 million. All right. And also, could you add some color on the supply chain constraints? Like how much impact do you see from the supply chain constraints on the gross margin and the revenue outlook for FY 2022?
Doug Groves: Sure. Joe, would you like me to take that?
Joe Bergera: Yeah, please. Go ahead.
Doug Groves: Sure. Yeah. So look we're impacted by the global chip shortage just like any other business that's using electronics in their products. We've been buying ahead, increasing lead times, diversifying our supply base, but we're still finding that the supply chain is probably still very, very tight for certain components that we use in our radar detection products. So hence the reason that we're being cautious as we look out for the full year and it's not raising the high end of our revenue guidance. I think in the coming quarters, there will be more clarity, but for now I would say we're holding our own. There could be a slight increase in working capital as we buy bigger lots and buy ahead to protect the revenue, but we're not expecting that to be significant at least not at this point in time as we continue to manage through what's a very difficult situation for a lot of companies.
Unidentified Analyst: Okay. Thank you.
Operator: [Operator Instructions] There are no questions in the queue at this time.
Joe Bergera: All right. So I assume that's going to conclude our question-and-answer session then. So thank you, operator for helping us with that. We appreciate everybody's support. On the Investor Relations front, I wanted everybody to know that we'll be presenting at the Oppenheimer 24th Annual Technology Internet & Communications Conference from August 9 through August 11. We'll also be at the Colliers 2021 Institutional Investor Conference and at the D.A. Davidson 20th Annual Software and Internet Conference. Both of those conferences will occur on September 9. All of these conferences will be virtual and we would love to see you there even though it may only be virtually. So if you're participating in any of these conferences, please plan to attend our presentation and/or please schedule a visit with us. We'd love to talk to you. In the meantime, we look forward to updating you again on our continued progress when we report our fiscal 2022 second quarter results. And with that, we'll conclude today's call. So thank you.
Operator: Thank you. Ladies and gentlemen. This concludes today's teleconference. You may now disconnect.